Operator: Good morning. Welcome to today's Builders FirstSource's Third Quarter 2015 Earnings Conference Call. As a reminder, today's call is being recorded and will be archived at www.bldr.com. It is now my pleasure to introduce Ms. Jennifer Pasquino, Senior Vice President, Investor Relations. Please go ahead.
Jennifer Pasquino - SVP Investor Relations, Builders FirstSource, Inc.: Thank you. Good morning and welcome to Builders FirstSource's third quarter 2015 earnings conference call. Joining me today on the call is Floyd Sherman, Chief Executive Officer of Builders FirstSource; and Chad Crow, President and Chief Financial Officer. A copy of the slide presentation referenced on this call is available on the Investor Relations sections of the Builders FirstSource website at www.bldr.com. The presentation was posted this morning. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Any reproduction of this call in whole or in part is not permitted without prior written authorization of Builders FirstSource. And as a reminder, this conference call is being recorded today, November 6, 2015. Builders FirstSource issued a press release after the market closed yesterday. If you don't have a copy, you can find it on our website. Before we begin, I would like to remind you that during the course of this conference call, we may make statements concerning the company's future prospects, financial results, business strategies, and industry trends. Such statements are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995, and are subject to certain risks and uncertainties which could cause actual results to differ materially from expectations. Please refer to our most recent Form 10-K filed with the Securities and Exchange Commission, and other reports filed with the SEC for more information on those risks. The company undertakes no obligation to publicly update or revise any forward-looking statements. The acquisition of ProBuild closed on July 31, 2015, the closing date. As a result, ProBuild's financial results are only included in the combined company's financial statements from the closing date forward and are not reflected in the combined company's historic financial statements. Therefore, we have provided supplemental financial information of the combined company in this press release that is pro forma or adjusted to include ProBuild's financial results for the relevant periods prior to the closing date. The company will discuss these pro forma and adjusted results on this call. We've provided reconciliations of the non-GAAP financial measures to their GAAP equivalents in our earnings press release and detailed explanations of non-GAAP financial measures in our Form 8-K filed yesterday, both of which are available on our website. At this time, it is my pleasure to turn the call over to Mr. Floyd Sherman.
Floyd F. Sherman - Chief Executive Officer and Director: Thank you, and good morning. We welcome you to our third quarter 2015 earnings call. Before I give a brief recap of the current quarter, I'd like to discuss the acquisition of ProBuild and provide an update on the integration and progress against the cost savings initiatives, then I'll give a brief recap of the current quarter and turn the call over to Chad who will discuss our financial results in more detail. After my closing comments regarding our outlook, we'll take your questions. Let's begin our discussion on slide five with an overview of the key benefits of the ProBuild combination. On July 31, 2015, we completed the acquisition of ProBuild, one of the largest distributors of building materials to professional builders, contractors, and project-oriented consumers in the United States. Through the – its lumber yards, component facilities, millwork, gypsum yards and retail stores across 40 states, ProBuild generated approximately $4.5 billion in sales in 2014. The combination of Builders FirstSource and ProBuild creates a clear industry leader, with expanded growth and margin opportunities, enabling a broader more efficient platform of manufacturing and distribution capabilities going forward. We believe the benefits of the acquisition include increased scale and diversification; a market presence in 74 MSAs of the top 100 MSAs, and 24 MSAs of the top 25 MSAs; opportunity to expand sales of higher margin products and services; a $100 million to $120 million of targeted run rate cost savings before one-time expenses; and certainly favorable timing given the projected housing market recovery and long-term growth potential. Now that we're a few months past the acquisition close, I'm eager to share with you an update on the ProBuild integration efforts. We're making great strides in combining our organization into one company. All aspects of the integration including system conversions and facility consolidations are in full swing and progressing as we had planned. Management and operating teams are in place and are driving our joint business goals. All six ProBuild Senior Vice Presidents of Operations joined Builders FirstSource management to run six of our nine large regions, bringing 33 years of average industry experience to the combined company. Additionally, three legacy Builders FirstSource Senior Vice President of Operations, bring an average of 36 years of industry experience to the role. We're having a very strong focus on customer service to sustain and grow local market relationships. So far, employee and customer attrition has been minimal. Moving to slide 6; the combination of Builders FirstSource and ProBuild is expected to generate approximately $100 million to $120 million in annual run rate cost savings synergies in the first two years following the close. Synergies are expected to be captured through network optimization, procurement and G&A cost, with a breakout of about 20%, 30% and 50% targeted for each area respectively. Within two months of the acquisition, we've already implemented changes that are expected to yield over $30 million of annualized cost savings. These initiatives were designed to generate go-forward savings, which we expect to start benefiting our fourth quarter 2015 financial results. We believe that we're on pace to achieve additional annual run rate cost savings of approximately $50 million within one calendar year of the deal close, bringing the anticipated run rate saving to $80 million by August 2016. As part of the integration progress, we expect to incur $80 million to $90 million in one-time costs to achieve these synergies. We believe approximately two-thirds of the one-time costs will be incurred in the first year following the acquisition and the remainder incurred in the second year. Our integration efforts with ProBuild are the highest priority for us in the coming months. I remain convinced that the combination of Builders FirstSource and ProBuild will create value for our shareholders and customers alike in the years to come. And, now before turning over to Chad, I'll give you a brief recap of our third quarter results. We ended the third quarter of 2015 with pro forma sales of $1.7 billion, flat as compared to last year, excluding the impact of closed locations, but grew adjusted EBITDA by 19% or $18 million. I'm pleased with the growth in profit over the prior year, despite the negative impact of commodity deflation on our current quarter sales. Average prices for framing lumber have fallen approximately 22% since the beginning of the year. As a result, our third quarter 2015 lumber and lumber sheet goods sales were down 6% versus third quarter 2014. However, our value-added sales of manufactured products, windows, doors and millwork, increased by 6% versus the third quarter of 2014. And the – I'd also like to point out that the category – the value-added sales – accounted for 37% of our Q3 sales, and this compares to the lumber and lumber sheet goods share of only 32.6%. So, very definitely, we continue to expand our offerings and our sales in the value-added category. We believe our company is well-positioned to help homebuilders mitigate the impact of well-publicized labor shortages through our manufactured and value-added products across our national footprint. Adjusting for deflation, our new residential volume sales grew 7% in the quarter, and repair and remodel grew 3% versus prior year. Lumber prices have started to rebound over the last four weeks, and we hope that the – this trend continues. We've also seen 16 straight weeks of improving 7/16 OSB prices and we also hope that this trend continues. I'll now turn the call over to Chad, who'll review our financial results in more detail.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Thank you, Floyd. Good morning, everyone. As a reminder, we have reflected pro forma adjusted figures to include ProBuild financial results prior to the closing date. Turning to slide eight; for the quarter, we've reported pro forma sales of $1.7 billion, which were flat compared to the third quarter of 2014. Sales volume grew approximately 7% in the homebuilding end market and 3% in the repair/remodel end market, which was offset 6.1% by the negative impact of commodity price deflation on our sales and 0.1% from closed locations. Breaking down our pro forma sales by key product categories excluding the impact of closed locations, manufactured products were $284.6 million, up 5% from $270.9 million in the third quarter 2014. Windows, doors, and millwork were $342.7 million, up 6%; lumber and lumber sheet goods were $554.4 million, down $34.3 million or 5.8% from approximately $558.7 million in 2014. From a product mix standpoint, our value-add product categories made up a higher percentage of overall pro forma sales. As our prefabricated components, windows, doors and millwork categories accounted for 37% of adjusted sales in the current quarter compared to 35% last year. Our lumber and lumber sheet goods declined as a percentage of sales from 35% in the third quarter of 2014 to 33% this year. Our other building products and services categories were relatively flat compared to last year. Our pro forma gross margin percentage was 25.9%, up approximately 160 basis points from 24.3% last year. Our gross margin percentage increased largely due to improved customer pricing, commodity price deflation, and a higher mix of value-added sales. Pro forma interest expense was $43.2 million, excluding certain one-time financing costs and normalizing for the incremental debt issued to finance the ProBuild acquisition. Pro forma income tax expense in the third quarter of 2015 was $1.2 million, compared to $1.5 million in the third quarter of 2014. Adjusted net income for the third quarter of 2015 was $34.7 million or $0.31 per diluted share compared to $15.9 million or $0.14 per diluted share in the third quarter of 2014. Adjusted EBITDA in the third quarter of 2015 was $113.6 million or 6.7% of sales, compared to $95.9 million or 5.6% of sales in 2014. This represents 18.5% growth on a year-over-year basis. We've provided an adjusted EBITDA reconciliation on page 10 of the presentation. Turning to slide nine, total liquidity at September 30, 2015 was $686 million, consisting of net borrowing availability under the 2015 revolving credit facility and cash on hand. We had $135 million in outstanding borrowings under our revolving credit facility as of September 30. In the third quarter, we paid down approximately $160 million on the 2015 credit facility subsequent to the acquisition close. Given the cyclical cash flow of our business, we do not plan on – to begin paying down our fixed or term debt before mid-2016. As I've stated earlier pro forma net interest expense was $43 million excluding certain one-time financing costs and normalized for the incremental debt issued to finance the ProBuild acquisition. Interest expense, as reflected in our GAAP financials in the quarter, included several non-recurring items. We have provided an interest reconciliation to provide a normalized or ongoing view of interest expense. I'll now turn the call back over to Floyd for his closing comments.
Floyd F. Sherman - Chief Executive Officer and Director: Thank you, Chad. We continue to believe the long-term outlook for the housing industry remains positive. Our focus will be to leverage our national scale and sales capability to grow faster than the market, while maintaining a focus on improving overall profitability. By leveraging our sales expertise and national manufacturing capabilities, we believe our company is well-positioned to help homebuilders mitigate the impact of well-publicized labor shortages. Specifically, our value-added products provide alternatives to on job site construction and associated labor delays. I remain convinced that the combination of Builders FirstSource and ProBuild will create significant value for our shareholders and customers alike in the years to come. We're fortunate to now have the industry's largest professionally trained sales force, the greatest depth and breadth of products in the industry, and state-of-the-art manufacturing capabilities. These strengths, our scale and the potential leverage provided by the synergy savings combines to make Builders FirstSource that is a greater than the sum of the parts. This combination represents important opportunities to enhance our growth potential. And, we expect to be further assisted by the continued recovery in the housing market along with the strengthening of lumber and lumber sheet goods pricing. I've never been more excited about the future prospects for our company, as well as our industry. In my travels over the last few months, I've had the pleasure to meet with so many of the great associates from ProBuild. I'm impressed with the exceptional pool of talent we have across our combined organization and I'm confident that we will together form the strongest team in the industry. I must thank all of our employees not only for all their hard work and dedication in making the integration a success, but for continuing to produce the solid financial performance that they have in spite of the many headwinds and distractions they've had to deal with. And now, I'll turn the call over to the operator for Q&A.
Operator: Thank you, sir. We'll take our first question from Rob Hansen with Deutsche Bank.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Thanks. So the first question I would ask about was just the prefabricated business. With a lot of the builders talking about delays and labor shortages and whatnot, what are your sales people telling you in terms of builders making enquiries to you and possibly increasing that business?
Floyd F. Sherman - Chief Executive Officer and Director: Yeah, we are continuing to see an increasing demand for our products. Certainly, the builders are much more receptive to the use of the manufactured components in the construction cycle. This goes for both single-family, multi-family, light commercial, and the – so, we're seeing a continued increase in interest as well as use of our products.
Rob G. Hansen - Deutsche Bank Securities, Inc.: And I think, this – in this business, right, you're somewhere around 60% capacity. Can you just kind of talk about where you have a – you are a little bit lower on that capacity utilization, where you are higher; does the demand for the pre-fab business kind of match on a market basis?
Floyd F. Sherman - Chief Executive Officer and Director: You know, Rob, I would say the traditional markets that would use pre-fab more consistently would be kind of the Mid-Atlantic area, it's not a product that has over the years at least historically had a lot traction in Texas, but we are starting to see that pick-up. So I would say right now our plants at max – or not maximum, but at the most capacity utilization would be more in the Mid-Atlantic region, and then maybe some of the lesser utilization would be West of the Mississippi, right now.
Rob G. Hansen - Deutsche Bank Securities, Inc.: And you folks aren't seeing any shortage of labor on year-end, is that correct?
Floyd F. Sherman - Chief Executive Officer and Director: The struggle for us has been drivers, which has eased up a little bit. I would say the biggest issue for us right now is still truss designers. That's where we see the biggest labor shortage right now.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Okay. And then one last quick one was just on the – just more of a housekeeping question on the – what's your LTM pro forma debt? I'm sorry, EBITDA, on an adjusted basis?
Floyd F. Sherman - Chief Executive Officer and Director: Let me get back with you on that. I don't have the LTMs in front of me.
Rob G. Hansen - Deutsche Bank Securities, Inc.: Okay, thanks.
Operator: Okay. Next we'll go to Matt McCall with BB&T Capital Markets.
Matthew Scott McCall - BB&T Capital Markets: Thanks. Good morning, everybody.
Floyd F. Sherman - Chief Executive Officer and Director: Good morning.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Good morning.
Matthew Scott McCall - BB&T Capital Markets: Maybe follow-up on the last one. When we think about the shift that you've seen toward more value-add, away from lumber, and you think about the inclusion of ProBuild, maybe some continued mix shifts in – at Builders. Can you talk about how we should think about that number as we head into 2016, what that mix should look like as we exit maybe next year?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: I think, we'll continue to see strengthening in the truss and panel components. I would say by the end of next year, just kind of rough guess, we might be up as a percentage of total sales another 2%, something like that.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah. I think, long-term, we certainly are looking to get that percentage over 40%. A lot of the percentage, if you look at it, is going to be how strong a recovery are we going to see in commodity pricing and what that does then to the mix, on a mix percentage, but certainly on a anticipated commodity basis, I would hope we're up closer to the 40% by the end of next year; 38% to 39%, I think, would be a number that we ought to be able to achieve.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Of total value add.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Not just truss and panel.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah.
Matthew Scott McCall - BB&T Capital Markets: Okay.
Floyd F. Sherman - Chief Executive Officer and Director: No work there. (21:16)
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah.
Matthew Scott McCall - BB&T Capital Markets: And, maybe tying that into the gross margin improvement. You have that 160 basis points. You – I think, you broke out some of the benefits; I wrote down pricing deflation, and I missed the last one or last couple, but can you talk about what drove – maybe breakdown that 160 basis points – what drove the gross margin improvement, how much mix moving toward value-add helped. Just some of the components there and then anything that we should keep in mind as we're modeling the future?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: I would say, of the 160 improvement, you're probably looking about 65 basis points of that was due to commodity price deflation, because we do get a tailwind from that. And then I would say – that leaves us 95 basis points. I would probably say, yes, two-thirds of that is more mix-generated.
Floyd F. Sherman - Chief Executive Officer and Director: Mix. You're right.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: And then you'll have a little bit of volume in there.
Floyd F. Sherman - Chief Executive Officer and Director: And then also the rest that we have seen, a conservative effort on the part of the sales force to improve their pricing...
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Right, in pricing.
Floyd F. Sherman - Chief Executive Officer and Director: And as the market has expanded, we also have the ability to get better pricing. So, I think those are the – combination of those factors.
Matthew Scott McCall - BB&T Capital Markets: Okay. Okay. And then the last one I have – seeing a bit of a divergence between the growth of starts and the growth of completions and a lot of that obviously could be tied to the labor issues that were discussed in the last questions. But are we to the point now where this has become enough of a trend that maybe we should start to look at the combination of these two or the average starts growth in – with the average completions growth to get an idea of what your growth rate is going to look like, because I think your growth rate was 7%, that would be about an average of what we saw from a growth rate, from a starts perspective and completions kind of together. Is that making any sense? Is that the way you're starting to look at it or is it still starts that you're focused on?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: I think that the delay in construction is certainly impacting the cycle time. And so, I think, what you said – what you just said makes sense, because there is definitely an extended time now from a permit to a start to a completion.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah. And I think you've also got to look – continue to look at units under construction. So, that units under construction is really where the building process, where most of our products are starting to go on to the – to the job site. And then that flows through to a completion and a sale.
Matthew Scott McCall - BB&T Capital Markets: Okay. All right. Thank you guys.
Operator: Now, we'll go to Mike Dahl with Credit Suisse.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Hi. Thanks for taking my questions. Just to follow-up on the last line of questioning. I mean, obviously if we look at some of the homebuilder results, it's – these delays are really extending to the point, where a lot of volume is getting pushed out into at least early next year and it sounds like, the builders are kind of planning for this to continue through most of next year. So, in that context, I guess, could you give us any color around current trends or fourth quarter expectations for growth rates? Should we be looking for anything different than what you've just seen, I guess, from a volume standpoint, obviously some differences in commodity lumber pricing. But any color you can give on more near term?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: I think, you'll see volume growth fairly similar to what we saw this last quarter, but unfortunately, I think, with the deflation we're facing, that's going to wipe out a lot of the volume growth we get from a top line basis. So, I would say, it's probably going to be more the same.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Got it. And then just, it's – since so many puts and takes around the margin and mix, and the commodity deflation, I guess, same question I know was asked, but, just any more granularity or color around just in terms of the near-term? What's realistic to think about in terms of just like the go forward margins, because there's obviously then also seasonality involved right now?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Right. From a gross margin standpoint, we – the commodity deflation that we have seen this year, as you know, provides a little bit of a margin tailwind although long-term we would certainly like higher lumber prices, and it's much better for business, and then EBITDA growth. So, I would say, if we continue to see flattening and improving commodity lumber prices, I would say from a gross margin standpoint, we're probably looking at something 50 basis points or so lower than the quarter we just had.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah. I think, low 25s.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Okay.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: But again – I'll take the short-term margin compression to get strengthening commodity lumber prices any day.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Right. Right. And then final one from me, just housekeeping. Any change to run rates on items like D&A and also, I know, you provide the snapshot saying pro forma, interest expense would be $174 million for the year. Is that kind of how we should think about that for next year or two years, since there's no real debt pay down until the second half?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah. I think that's pretty close from an interest standpoint. Go forward D&A on a quarterly basis, you are looking at about $25 million of depreciation and probably $8 million or so of amortization. That looks like where the amortization and depreciation is going to shakeout after we do our step-up in our acquisition accounting.
Michael G. Dahl - Credit Suisse Securities (USA) LLC (Broker): Okay. Great. Thanks a lot.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Just real quick to follow-up on Rob's initial question, I'm running about $305 million of the adjusted LTM EBITDA right now. So, we can go to the next question now.
Operator: Okay. We'll take the next question from Will Randow with Citi.
Will Randow - Citigroup Global Markets, Inc. (Broker): Hey. Good morning. And thanks for taking my questions.
Floyd F. Sherman - Chief Executive Officer and Director: You bet.
Will Randow - Citigroup Global Markets, Inc. (Broker): In terms of your Texas exposure, can you talk about your experience there in terms of demand in light of obviously strength in DFW seems like Austin is soft, and are more soft, and then the latest Houston permits being down 40% for August and September?
Floyd F. Sherman - Chief Executive Officer and Director: So, what was your question for – just as far as Texas in general?
Will Randow - Citigroup Global Markets, Inc. (Broker): Yeah. What are you experiencing there in the market? I mean, are the...?
Floyd F. Sherman - Chief Executive Officer and Director: Yeah. Dallas-Fort Worth is still very strong. You are correct. In Houston, seeing some slowdown there. I think, through September in Houston, we're showing single family permits down around 3%. The biggest slowdown so far in Houston has been on the multifamily side, but obviously overall on a relative basis, Houston is still very strong for us. Maybe some softening in Austin and San Antonio, but from what I'm seeing all-in-all Texas is still a very strong market for us.
Will Randow - Citigroup Global Markets, Inc. (Broker): Okay. And what was your total exposure to Texas, I forgot?
Floyd F. Sherman - Chief Executive Officer and Director: About 17% of our sales.
Will Randow - Citigroup Global Markets, Inc. (Broker): Okay. And, then just one follow-up in terms of synergies, can you talk about the progress you've experienced there since July particularly with regards to procurement savings?
Floyd F. Sherman - Chief Executive Officer and Director: Well, at the end of the third quarter, we were on about a $30 million run rate. I think, by year end, we'll be close to $50 million. Best guess now of that $50 million, it would be about $15 million of procurement.
Will Randow - Citigroup Global Markets, Inc. (Broker): Okay. Thanks for that. And, congrats on the quarter.
Floyd F. Sherman - Chief Executive Officer and Director: Thanks.
Operator: We'll next go to Kenneth Williamson with JPMorgan.
Kenneth L. Williamson - JPMorgan Investment Management, Inc.: Hi. Thanks for taking my question. I had – just wanted to get a little bit more detail on what exactly you're seeing in the way of commodity deflations, is this only affecting your lumber side of the business or are there other products that are being affected by deflation?
Floyd F. Sherman - Chief Executive Officer and Director: Primarily, with the lumber and lumber sheet goods, we have seen a little bit of back-off in pricing on roofing as well as gypsum, but it's been very small, the rest of our products, we have seen some inflation. The – so, but the real effects of deflation are all centered around the lumber and lumber sheet.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah. When you go through an extended period of lower prices it will start to impact your components as well.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Since, you obviously use those same products in your trusses and panels.
Kenneth L. Williamson - JPMorgan Investment Management, Inc.: Got you. Okay. So, what do you view as the biggest driver for that or what do you view needs to change for prices to start to move the other way?
Floyd F. Sherman - Chief Executive Officer and Director: I think, it's strictly a matter of the manufacturers of – especially now in the lumber category to get their output close or match to what the demands of the marketplace is. I think, one of the things certainly that has affected our pricing here has been the fall off of the China market and that has caused the Canadian mills to push a lot more material down into the U.S. market and that has really contributed to some of the problems that we've had. The U.S. mills have done a better job from what we can see in trying to get their production matched up with the demand for housing, I think, a lot of people got way ahead of themselves. I think, some of the forecast for housing led to the mills adding additional shifts and adding people. And they were reluctant to, I think, back away from and absorb those costs that they had for starting up the increased production. OSB manufacturers have certainly done a much better job of getting their output in line with the demands of the market, and I think, we've seen 16 straight weeks of improving OSB pricing. That's very encouraging to us, and it looks like – we're all hopeful that we at least hold it and not start back, that we still have a long ways to go to get up to traditional levels of pricing. But I think that will come as the demand in housing continues to increase and the mills become – get better at matching up their output to the demands of the market, and a return of – and certainly a return of the China market will help pull away some of the excess capacity.
Kenneth L. Williamson - JPMorgan Investment Management, Inc.: Thanks. That's very helpful. I guess just someone who's fairly new to following your business, just – when you look at the supply – you mentioned key suppliers in particular pushing some of that supply down into the U.S., they would have normally gone to Canada. What percentage typically from those Canadian suppliers is exported to China?
Floyd F. Sherman - Chief Executive Officer and Director: The – you really probably should get that number from the Canadian sources, but from what we have been able to see, somewhere close to 30% of the Canadian lumber output was going into the China market. And what made it really a lot more difficult is that a lot of that material is lower grade material. And when that got cut off, they really pushed the number three grade into the U.S., because they had to have a place to go with it, and it really drove the pricing on number three to extremely low levels; half of what it was a year ago. And that was a real major contributing factor to the fall in lumber prices.
Kenneth L. Williamson - JPMorgan Investment Management, Inc.: Okay. Thank you. That's very helpful.
Operator: Okay. Now, we'll go to Nick Coppola with Thompson Research Group.
Nicholas Andrew Coppola - Thompson Research Group LLC: Hi. Good morning.
Floyd F. Sherman - Chief Executive Officer and Director: Hi, Nick.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Good morning, Nick.
Nicholas Andrew Coppola - Thompson Research Group LLC: So, any further read you can provide on expectations for revenue synergies? So maybe, I think you talked about initiatives to get more value-add sales through the ProBuild footprint and maybe any success in getting them into new customers?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Nick, that's just such a soft number and you'd have to make a lot of assumptions in coming up with some calculations. As we've talked about before, we obviously do feel like there are revenue synergies, but to try to put a number on that, I just wouldn't be comfortable.
Nicholas Andrew Coppola - Thompson Research Group LLC: Is there anything quantitative, like to point to progress there.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: We continue to look at ramping up their sales efforts on the truss and panel side, and looking at expanding some of the other product categories, for instance gypsum and roofing into the BFS side, but we're still so fresh into the acquisition that so far – thus far it's just been more discussions with the sales force and getting them up to speed on some of the newer products that they may be required to sell, but I would say so far that any progress has been minimal.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah. I think, all of our focus really has been on retaining our sales force, retaining the customers. That's a – that was a very, very important part of the – of your first six months or so, and that's got to be stabilized and you want to make sure that your sales force is – has been retained, and that we haven't lost any bleed-off of customers to competitors. And after – once you're through that initial phase then you'll begin looking at how do you increase the sale of the value-added products throughout the organization. The – that is a longer-term proposition, but one in which we've been very successful in the past in Builders FirstSource, as has ProBuild. We've had a higher concentration of it in our mix, because there a lot more emphasis was placed on it and we'll do the same and that's going to be the direction as we go forward.
Nicholas Andrew Coppola - Thompson Research Group LLC: Okay. That's helpful. And then, also wanted to ask just about regional highlights in the quarter. You talked about Texas a bit, but any other areas of strength or weakness in volumes across your business, especially now with your larger footprint?
Floyd F. Sherman - Chief Executive Officer and Director: Yeah, there's certainly – North Carolina and Florida continue to be very positive to our business. We've seen, from ProBuild, the California market is certainly showing some good strength this year. The Northwest, Alaska, again, we've seen improvement and good sales gains in those areas. So, I think it's coming from a combination of factors. Certainly the largest states that we do business with, as Chad has said, was Texas and the Carolinas, Florida; they certainly are the largest states.
Nicholas Andrew Coppola - Thompson Research Group LLC: Okay. Thanks for taking my questions.
Floyd F. Sherman - Chief Executive Officer and Director: You bet.
Operator: Now, we'll go to Trey Grooms with Stephens.
Trey H. Grooms - Stephens, Inc.: Hey, good morning, guys.
Floyd F. Sherman - Chief Executive Officer and Director: Good morning, Trey.
Trey H. Grooms - Stephens, Inc.: I guess, my first question is on – probably for Chad. On SG&A, how should we be thinking about that with the combined company now, with any seasonality into the fourth quarter? How should we think about SG&A I guess for fourth quarter and then as we look into next year as a percent of sales, any changes you'd expect there?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Well, the business will be more seasonal now, obviously, with a greater presence in the northern regions. So, it will drag our results in Q4 and Q1 a little more than historically it would have at Builders. But, we do have a lot of the cost saves that we're going to be putting in as well. So, all-in-all, I think we're still going to be able to do a very nice job of mitigating a lot of the seasonality with some of the cost saving initiatives that we're going to put in place.
Trey H. Grooms - Stephens, Inc.: But as far as SG&A specifically, I understand that there's puts and takes right now with lumber deflation and that's kind of a headwind as far as leveraging that SG&A. What is – should we see a sequential change though? I think, this quarter it was at 22% or 23% of sales somewhere at ballpark. Should we be thinking about it differently in 4Q or no?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: I would say due to the seasonality, it will probably increase as a percent of sales, but with some of that being offset by the cost saving initiatives that we've put in place.
Floyd F. Sherman - Chief Executive Officer and Director: (40:05) that's got a lot of one-time cost flowing through that – in that number.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah. I'm talking on a excluding one-time cost, integration cost basis.
Floyd F. Sherman - Chief Executive Officer and Director: Yeah.
Trey H. Grooms - Stephens, Inc.: Right, right. Okay, got you.
Jennifer Pasquino - SVP Investor Relations, Builders FirstSource, Inc.: Do you remember that – Trey, just remember that Builder – ProBuild had a much larger presence in Alaska, in the Midwest and the Northeast where there is less building activities. So, your fixed cost do drive your percentage of SG&A up a little bit more in the first quarter and fourth quarter than what you would have historically seen in Builders.
Trey H. Grooms - Stephens, Inc.: I understood.
Jennifer Pasquino - SVP Investor Relations, Builders FirstSource, Inc.: Yeah.
Trey H. Grooms - Stephens, Inc.: And, that shift from – I guess from the third quarter to fourth quarter, it is going to be more seasonal, but it is there when you're looking at that is there other things that are contributing that could help offset some of that seasonality like the prefabricated components piece or anything else that would be a positive as we look into the 4Q, a positive contributor?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah. The cost saves as they begin to take more effect will be positive, and then hopefully we'll continue to see strengthening in lumber prices, which obviously helps us lever our SG&A even better.
Trey H. Grooms - Stephens, Inc.: Okay.
Floyd F. Sherman - Chief Executive Officer and Director: And I think we're going to continue to expand the value-add products. They are certainly the higher margin products for us.
Trey H. Grooms - Stephens, Inc.: Okay. And thanks for that. And then on the better pricing that you noted, can you just kind of give us a sense of what's going on in the competitive environment? Are you seeing some improvement there that's allowing for better pricing?
Floyd F. Sherman - Chief Executive Officer and Director: I think really overall, Trey, I think, it's – the environment is similar to what we experienced back in the second quarter. Certainly, as the starts improve and there's more work available, it does ease somewhat and the builders become more concerned as to getting their – the products that they need and services on-time and complete. I would say, there's been a slight improvement in the competitiveness. It's – we're not seeing nearly some of the way off the reservation pricing that we had been going through, that seems to have abated. I think that's a positive. So yeah, it's certainly better than what it was last year, and I think that is going to continue to improve, and that certainly has helped us in our ability to increase margins. And I think at the same time, I think our people probably feel that a little bit more aggressive when they're going into pricing that, they're not going to be just totally shot out of the saddle. So, I would say overall, yeah, it's the environment has continued to improve. Chad, you might?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: No, that's consistent. I would agree with that.
Trey H. Grooms - Stephens, Inc.: That's good. That's encouraging. And then, outside of lumber, windows, doors, gypsum, roofing, all the other exciting, the other things that you have now, where you've got, I think, a little more exposure to these other things, now with ProBuild. What are your expectations for pricing outside of lumber going into next year as far as you know from your suppliers there? Any indication of kind of what to be expecting there as we look into 2016?
Floyd F. Sherman - Chief Executive Officer and Director: Yeah. Our suppliers, I think, everyone is looking to have some increase in their price of the manufactures of products. I think we have shown and we have seen some of that certainly this year, and we've been able to pass those increases on, where in the past that wasn't the case, when vendors were increasing prices. But at the same time, we are really – we've already started working very closely with all of our suppliers and certainly the major suppliers, and showing them the attractiveness of our package and giving people the opportunities to look at increasing their involvement with the company, and hopefully we're going to see some benefits that spin out of that, at least that's what we're anticipating. So, all-in-all, I think we're going to see – we're going to see higher prices from the vendors. I think we're going to be able to pass it on. And but I – and I think we're going to be able to negotiate for ourselves some improved programs and so forth that will enable us to really help in the sale of those products. There's a lot of things that vendors can do to help you improve your share of the market and be more aggressive in the marketplace. So...
Trey H. Grooms - Stephens, Inc.: All right, makes sense. Thanks for that, Floyd. And then my last one is, Chad, I think historically, you've given us kind of what the sensitivity is to lumber on a 10% change. I think you gave it to us on a standalone basis. I don't have the, or haven't heard the new sensitivity to lumber. So, a 10% change equals X dollars of change in EBITDA for the combined company. Do you have that or could you share that with us?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah, if you had a 10% change and everything else being equal and that 10% change being in effect for an extended period of time. You'd probably be looking on a combined company basis about a $35 million impact to EBITDA.
Trey H. Grooms - Stephens, Inc.: Okay. That's all I needed. Thanks a lot, guys. Have a – good luck with the rest of the quarter and have a good weekend.
Floyd F. Sherman - Chief Executive Officer and Director: Okay, you too.
Operator: Now, we'll go to Jay McCanless with Sterne, Agee. Mr. McCanless, your line is open.
Jay McCanless - Sterne Agee: Hi. My questions have been answered. Thank you.
Operator: Okay. We'll next go to Fritz Leo with Raj Global (47:12).
Unknown Speaker: Hi, guys. Good morning. Just a quick question. Can you give me any idea what your cash taxes are going to be like over the next quarter and into 2016?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Cash taxes will be close to zero. We're sitting on a fairly large NOL right now, and so in any given quarter, you may have $1 million or $2 million in cash taxes, it's going to be small.
Unknown Speaker: Okay. And you had mentioned this on the road show, but can you remind me kind of where your target leverage is kind of – I know you're obviously in delivering mode at the moment, but long-term what's your target leverage?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Yeah. I would say 3 times, 3.5 times.
Unknown Speaker: And that's net or gross?
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Net.
Unknown Speaker: Net, okay. Thank you very much. That's all. Thank you.
M. Chad Crow - President, Chief Operating Officer and Chief Financial Officer: Thank you.
Operator: And there are no further questions at this time. So, I'd like to turn it back over to our speakers for any additional or closing remarks.
Floyd F. Sherman - Chief Executive Officer and Director: Okay. We – I certainly appreciate everyone joining the call today. We look forward to updating you on the progress of the integration and our business initiatives in the months ahead. And if you have any follow-up questions, please don't hesitate to give Chad or Jen Pasquino a call. And again, thanks and have a good day.
Operator: And that does conclude today's conference. We thank everyone again for their participation.